Mathew Stanton: Good morning, everyone, and thank you for joining us for our H1 FY '26 Results Briefing. I'm Matt Stanton, CEO of Nine Entertainment. Joining me here today is our CFO, Martyn Roberts. And we are coming to you from our studio in North Sydney, which was upgraded in preparation for the Winter Olympics. The studio has been integral to the coverage of all the action from Milano Cortina that has enthralled Australian audiences on Nine, 9Now and Stan over recent weeks. I'd like to start off by acknowledging the traditional custodians of country throughout Australia and their connections to land, sea and community. We pay our respects to their elders past, present and emerging and extend that respect to all First Nations' people today. For myself, I am on the land of the Cammeraygal people of the Eora Nation. For the 6 months to December, Nine has reported group EBITDA, including Radio and NBN and Darwin of $201 million, up 6% on PCP on revenue of $1.1 billion. On a continuing business basis, this equated to EBITDA of $192 million, also up 6% and net profit after tax of $95 million, up 30% on PCP. EPS of $0.06 per share was also up 30%, and enabled the declaration of a $0.045 interim dividend. We were very pleased to report another half of EBITDA growth for the 6 months to December 2025, consistent with our guidance from August last year. Nine's diversity of revenue and strong cost performance helped to counter the weak advertising market with growth from Stan, the mastheads and robust result from Total Television. Overall, Nine's group EBITDA margin increased by nearly 2 percentage points to 18.2%. Subscription revenues grew by 13% across the half, underpinned by double-digit growth at Stan and in digital subscription revenues at publishing. across the half, we continue to see digital revenue at our mastheads growing faster than the rate of decline in print revenue. We removed a further $43 million of costs from the business across the half, $32 million on an ongoing basis. This was a result of our focused program of improving efficiencies in parts of our business whilst continuing to invest in the areas of growth. We continue to expect delivery of at least $160 million across FY '25, '26 and '27, with $92 million delivered to date. Since our last result, we have also made significant progress in our strategic initiatives. To this end, the announcement in late January of the acquisition of QMS, sale of Nine Radio and restructuring of NBN and today's announcement on Nine Darwin are key to accelerating Nine's strategic transformation by increasing our exposure to growth assets. The outdoor assets enhance our scale and reach, and are resilient to the power of the global platforms. As a result, we have streamlined Nine's business around our focus on premium content, digital growth, as well as subscription and licensing assets. We believe this portfolio offers the greatest opportunities for optimizing the combined value of our assets, underpinning longer-term growth opportunities and value to the shareholders. While these big moves may have grabbed the headlines, we have also been working behind the scenes, improving the operating effectiveness of our existing businesses. During the half, Nine's strategic transformation program, Nine 2028, enabled the delivery of a number of cost and growth initiatives, helping to offset the challenges of external advertising market while capitalizing also on growth opportunities. We have made significant progress with our AI initiatives, focusing on both improving the operating efficiency of our business and also the further commercialization of Nine's pool of proprietary content. Our own use of AI continues to gather momentum. We are through the establishment phase, democratizing the usage of AI across the company, with Gemini platform rolled out and being utilized daily by an increasing number of our employees. We are now focused on accelerating the redesign phase, driving efficiencies as well as driving growth in new product and new revenue streams. We are pleased with the progress we are making across customer support, sales, finance automation, consumer engagement, content creation and engineering. One clear example of reimagining the use of Nine's content is evidenced as corporates look to fuel their own in-house LLMs with quality, reliable content in volume. On this point, we have already signed 2 Australian corporates as licensors of Nine's content into their own proprietary AI ecosystems, with a lot more opportunities to come. These strategic moves have resulted in a step change in the balance of our business. In the latest result, we estimate that around 51% of our revenue and 49% of our EBITDA was sourced from growth assets; Stan, 9Now and Digital Publishing. Looking forward to FY '27, we estimate that on a pro forma basis, around 60% of our revenue and almost 70% of our EBITDA will be sourced from growth assets, adding in the higher-margin outdoor business and reducing our reliance on broadcast. Whilst we are not motivated by scale alone, it is also an important outcome, enabling us to maximize the impacts of our content and remain relevant in a fragmenting media market. Moreover, as our business becomes more digital, we expand our ability to build and exploit the opportunities of our integrated consumer platform. At this point, I'd like to ask Martyn Roberts, our Chief Financial Officer, to talk through the group financials.
Martyn Roberts: Thanks, Matt, and good morning, everyone. As Matt summarized earlier, for the 6 months to December, inclusive of the results of Radio, NBN and Darwin, the reported EBITDA of $201 million equated to growth of 6%. On a continuing business basis, Nine reported group revenue of $1.1 billion and group EBITDA of $192 million, which was also up 6% on half 1 FY '25. Group net profit after tax and before specific items was $95 million, up 30% on the previous corresponding period on a continuing business basis. Inclusive of a specific item cost of $14 million, the net profit for the half was $81 million. Slide 9 details the composition of specific items, which totaled a pre-tax cost of $18 million for the half. A bit over half of this related to restructuring costs, primarily redundancies. We incurred almost $5 million of costs relating to the development of our in-house total trading platform and HRIS projects. There was also around $3 million of pre-transaction costs relating to sales of Nine Radio, NBN and Darwin and the acquisition of QMS. The waterfall chart on Page 10 illustrates our continuing work on costs. Reported costs on a continuing business basis were $59 million lower. Pre the impact of the Paris Games, costs were up $36 million or 4%. Within this, Nine offset the impacts of returning costs, inflation relating to employee salaries, investment whilst continuing to invest in growth businesses, Stan and Drive. This resulted in a total cost saving of more than $43 million, including $32 million of ongoing costs. We expect to take a further $70 million of underlying costs out across half 2 FY '26 and into FY '27, consistent with a 3-year total of around $160 million. Page 11 shows the transition of Nine's net debt from the starting position at the 1st of July 2025 of $450 million to the $158 million in cash we have reported for the 31st of December 2025. This includes the $720 million proceeds from Domain, net of the dividend paid and tax, of course. Within this, we paid a special dividend of $777 million, fully franked to our shareholders. We continue to expect leverage to peak at around 1.8x by June 2026 post completion of our M&A transactions. The enhanced EBITDA of the combined entity and the benefit of the tax losses, which are expected to be realized around January 2027, are projected to reduce leverage to within Nine's targeted range of 1 to 1.5x by the end of FY '27. For the 6 months to 31st of December, cash flow from operating activities was $96 million, with the breakdown of this shown in detail in Appendix 3 of the presentation pack.
Mathew Stanton: Turning now to our divisional results. Together, our streaming and broadcasting businesses recorded growth in the first half, with a record result at Stan and a pleasingly robust result for Total Television. We continue to focus on broadening our advertising offering in the digital video market, with the introduction of ads on Stan Sport, coupled with our sales agreement for HBO Max. The logic behind bringing these 2 businesses together and the appointment of Amanda Laing is playing out, with both revenue and cost initiatives across the half. So in particular, we have accelerated the restructuring of streaming and broadcast under the Nine2028 program. Specifically, we consolidated the creative and promos teams, resulting in both cost efficiencies and engagement opportunities. We've also stepped up our cross-promotion and collaboration, clearly evidenced during the Winter Olympics. In particular, I'd like to mention the MAFS spin-off After The Dinner Party, which launched last week as Stan's highest ever single episode subscription driver in a 24-hour period, beating global phenomenon, Yellowstone. And with a massive 15% of the total user base watching the first episode over the first 4 days, again, highlighting the benefits of our cross-platform offering. We've also introduced a Pathways to Stan initiative, which uses Nine's digital assets and associated Nine user ID to direct subscribers and non-subscribers to Stan content. Also, earlier this year, we announced plans to consolidate NBN and Nine Darwin within our regional affiliate, WIN Network, enabling both businesses to focus on their strengths. And in mid-2025, we rolled our advertising into Stan Sport, which together with 9Now and our agency agreement with HBO, further increases our offering in the digital video market. Nine's advertisers are now able to reach audiences across live, broadcast, live streaming and on-demand platforms, creating the most powerful video platform in Australia. And finally, we progressed the future news transformation project, with rollout beginning in Sydney and go-live dates starting mid-2026. So it's been a time of transformation for streaming and broadcast as we position ourselves for the future and enable these latest results with strong growth at Stan and a resilient result for Total TV in a very difficult ad market.
Martyn Roberts: Looking first at the results for Total TV on Page 14. Nine recorded audience growth, excluding the Olympic Weeks for Total TV in both total people and 25 to 54-year-olds for calendar year '25 and also the 6 months to December. Our content performance continues to strengthen with shows like The Block, up 12% across the season on a Total TV basis and Love Island, up a massive 43%. For the December half, Nine's comparables for revenue and costs were significantly impacted by the prior year Olympic period. As a result, Nine recorded a Total TV revenue decline on a continuing business basis of 14% in a market that was down by around 10%. Total television costs declined by $85 million in the half, the key driver being the $76 million net reduction in sports costs, primarily the Paris Olympics and Paralympics. On an underlying basis, savings of an estimated $25 million more than offset inflation and strategic investments in premium content and technology. The net outcome, therefore, was a broadly steady total TV EBITDA of $99 million, which is a pleasing result in a tough advertising market. At Stan, revenue growth of 15% was underpinned by sport, with the Premier League outweighing the absence of the Olympics, resulting in 40% growth in average sports subscribers on a higher ARPU across the half. The current subscriber number of around 2.4 million reflects a more competitive market for entertainment content and the conclusion of Yellowstone in the comparative period. Stan Sport has been a key driver of Stan this half, with the new Premier League contract boosting subscriber numbers and enabling a price increase in July last year. As a result, ARPU across the half increased by 6%. The Winter Olympics has also been the primary driver of a recent boost in sports subscribers, resulting in more than 200 million minutes viewed and an all-time record for Stan Sport weekly users, once again highlighting to Nine the merits of cross-platform sports rights. Stan's margins expanded further across the year. Entertainment costs were down year-on-year, showing ongoing cost discipline across the entertainment portfolio as well as early benefits from the streaming and broadcast restructure. Stan reported a record half 1 EBITDA result of $37 million, up 24%. We also introduced advertising to Stan Sport at the beginning of FY '26, delivering single-digit millions of dollars of advertising revenue in the half despite a short lead time before the start of the Premier League season. Coupled with the new agency revenue from HBO, Nine's ability to generate incremental revenue in the digital video market is continuing to build.
Mathew Stanton: Okay. So, turning now to Page 16. We continue to be pleased with the performance of our publishing business. These results can only be achieved with commitment to journalism, to our people and to delivering our content in as many ways across as many platforms as we can. To this end, over the past 6 months, we have continued to focus on investing in our high-quality journalism, which, of course, sits at the core of the business. We have cycled through price rises across the SMH, Age and AFR, and we are constantly developing and evolving the product experience for our subscribers and readers. In particular, this latest half, we have launched personalized notifications and AI-powered in-app audio as additional features for high-ARPU packages. We have also continued to deliver profitable industry events and expanded our campus access, building direct relationships with thousands of potential new subscribers. We're also pleased with the performance of Drive. The focus towards lead generation revenues is paying off, with 120% growth in Marketplaces' revenue across the half. As I mentioned earlier, Nine Publishing has also completed a small number of AI deals with major corporates who are licensing Nine's premium content for use in their in-house LLMs.
Martyn Roberts: In terms of results, Publishing reported revenue of $262 million and a combined EBITDA of $74 million, which was flat on the first half of FY '25. The result included an $8 million reduction in defamation provisions, primarily a result of the completion of the Ben Roberts-Smith case. It also included a mid-single-digit millions of dollars investment in Drive, the early results of which are reflected in Drive's revenue growth. You will see from this table that we reported strong growth in digital revenues, 9% of the Metro mastheads and AFR and 32% at Drive. This growth at Drive was underpinned by 120% year-on-year growth from the Marketplace business, supported by a 108% increase in dealer car listings, which together more than offset a 5% decline in advertising. Profitability at nine.com.au declined by around $4 million. We are currently undergoing a complete refocus of the product and audience proposition for the business, with significant website enhancements during this half and with our new Executive Editor starting just last week. The revamped nine.com.au strategy is aimed at maximizing results for our commercial partners and providing the best news, sport, lifestyle, entertainment and shopping experience for the nearly 10 million Australians that visit every month. On Page 18, we take a closer look at our masthead business, which reported EBITDA growth of $5 million to $78 million. These results further highlight the key inflection point Matt spoke to earlier, with the growth in digital revenues more than offsetting the decline in print. Once again, we were pleased with our digital subscriber performance, both in terms of subscriber numbers and ARPU, resulting in digital subscription revenue growth of around 17%. Nine's metro mastheads were, however, impacted by the softness in the broader advertising market as well as prior year Olympics revenue and some large client campaign and spend movements out of the first half from both print and digital. Print advertising declined by 11% and digital advertising declined by 14%, reflecting softness in government, business and travel. Cost of the mastheads declined by $2 million, with savings from defamation and printing, partially offset by cost increases from salaries and increased subscriber marketing. The mastheads are also continuing their targeted investment in their key growth areas, with a focus on ensuring recent audience and subscription strength is maintained.
Mathew Stanton: I'd also like to say a few words about the current regulatory environment. Australia faces some significant challenges from the increasing influence of global tech giants and the rapid evolution of artificial intelligence. These developments are having significant impacts on local media companies. That is why the media sector eagerly awaits the government's intent following the industry feedback to the discussion paper on proposed reforms to the News Media Bargaining Code. The Prime Minister has assured the sector he remains committed to the reform. This policy is not just of great importance to Nine and the journalism we so heavily invest in. It will have long-lasting impacts on the health of our democratic nation, the voices of its communities and the broader economy. We encourage the Prime Minister to give the News Media Bargaining Code a higher priority status on the policy agenda than at present to ensure implementation doesn't slip into late 2026. On the commercial broadcasting tax, Nine continues to advocate strongly for the abolition or further suspension of the tax as economic headwinds and the challenges faced by the broadcasters has not fundamentally changed since it was first suspended. The rushed implementation of local content investment obligation for subscription streamers has been a concerning example of the unintended consequences of pursuing policy aimed at global streamers without properly understanding the impact this has on the content landscape for local media broadcasters and Nine's SVOD platform stand, the only Australian-owned service of its kind. We will be monitoring the impacts of this new regulation on content cost inflation, competition and access to quality Australian content for Nine, other Australian services, both free and subscription and audiences. So turning back to these results. Our ASX release this morning includes the updated view of current trading, which I refer you to. Overall, the new year has started on a more positive note operationally, underpinned by Nine's exceptionally strong content, which has been reflected in Q3 advertising share. We're also buoyed by the strategic changes we announced a couple of weeks back. Our goal is clear: to be Australia's leading digital-first connected media business. We are confident the changes we have made and continue to make both to our portfolio and operating structure will accelerate Nine's transition to a digitally focused, structurally growing media company in a way, which demonstrates our commitment to enhancing shareholder value. We are moving from a traditional media-based business to a data-driven integrated digital media powerhouse. So now, Martyn and I will take your questions. Operator, if you could pass us through to our first question?
Operator: [Operator Instructions] Your first question comes from Eric Choi at Barrenjoey.
Eric Choi: I had a few. I'll just go one by one and just tell me to bugger off when you think there's too many. But first one, just on a boring one on NPAT. On the outdoor call before, I think I incorrectly back sold about $140 million of FY '26 NPAT just using your accretion comments. Just with your -- the new information you've given us today on interest D&A, I just want to confirm that's looking more like a $140 million to $150 million NPAT range. And I just don't want to short change you because if we're calculating EPS accretion for the outdoor deal, I just want to make sure we're using the right EPS base.
Mathew Stanton: Yes. Thanks, Eric, and thanks for such a technical question to start us off. So, I might refer to Martyn. I don't know if you can help us on that one.
Martyn Roberts: Yes. So, I think as we said on the call in January, with QMS, we're looking at $105 million of EBITDA in calendar year '26. And I think I also indicated that D&A would be about $50 million. Clearly, for the EPS accretion to be the low single digits that we called out pre-synergies, you've got to get over the after-tax interest costs of roughly $35 million a year if you take the $850 million acquisition price. And so that's how you get to that small accretion. And then the synergies of $20 million after-tax of $14 million. And then that adds together with the low single digit to get to double digit. Clearly, it depends on what your EBITDA forecast is to get to whatever you want to focus on NPAT, but hopefully, that helps you work it out yourself.
Eric Choi: That's good, Martyn. And sorry, Matt, let me bring it back to the operations. Just on the fourth quarter outlook and if we look at what Southern Cross has said today, they're implicitly guiding to probably like $130 million of EBITDA in the TV business, which would be probably below what consensus was expecting for SWM before. And if you look at the 4Q comments, they're definitely not expecting an improvement in the TV market versus 3Q. I'm just wondering if you think that's conservative because if you look at SMA, like May and June look like easier comps. So just from a market perspective, I'd be interested in your views. And I realize your share is going to be lower in 4Q versus 3Q, but just interested in the market outlook.
Mathew Stanton: Yes, Eric. So, I think we've guided the fact is it's a bit too early to say what quarter 4. We talked about quarter 3 being better than quarter 2. We had a very strong content slate in quarter 3. No doubt about that. Don't forget last year, you had the election in April, which does buoy up and then May, June softened down. So it does depend a little bit on the share. And also, don't forget, for us, the business in quarter 4 will be the advertising part and the broadcast bit, if you like, is under 30% of the business at that point in time. So I don't -- it's very difficult to say how material that will be to our numbers in quarter 4. But it is -- I'd say the market feels better in quarter 3 than it was quarter 2. It was choppy through quarter 4 last year, and it's a bit early for us to say.
Eric Choi: I'm sorry, Matt. Do you mind if I ask you one more?
Martyn Roberts: Yes. Go for it.
Eric Choi: Perfect. Probably the most important question at the moment, which is, do you think you guys are an AI winner or loser? Obviously, you're doing enterprise deals. Just wondering the potential for bigger LLM deals and then does all of that sort of potential licensing revenue, you guys monetizing the Bard and all of your data, et cetera, et cetera, does that more than offset any kind of potential disruption vectors to ad markets or content aggregation?
Mathew Stanton: Yes. Great question. I mean, where we sit with this is that we think we're net positive on the impact for us. I think we are very much -- our strategy is around premium content. And I think when you've got premium content and the quality of the content we've got is very strong that we're in good shape, and there will obviously be some efficiencies coming through, but a bit of disruption as well. So, we've done a couple of LLM deals that we announced today, and there's a good pipeline of other opportunities, both locally and we'll see globally over time. But we're net positive on where AI will land us.
Operator: Your next question comes from Entcho Raykovski at E&P.
Entcho Raykovski: I might start with a question on Total TV as well. And just looking at that 3Q trajectory, I mean, it looks reasonably strong given the PCP. I know you had a really strong Q3 last year. So, my question is how much of that strength can you attribute to the Olympics? And how much can you attribute to the fact that the Australian open effectively had close to an extra week of content, which looks to have been pretty well marketed and sort of other factors? I guess I'm just trying to isolate what's one-off within that number as opposed to recurring.
Mathew Stanton: Yes, no, you're right, Entcho. You're right to say that we had a very strong period last quarter. So this time last year, we were up, I think, 7% or 8% year-on-year for the quarter and then to come up again. But don't forget, we do -- this quarter, we had AO, which was very strong from an audience point of view and good commercially. You go into the Olympics, which is very strong. You got MAFS, which is very strong, and then we get into the NRL. So, we've got 4 huge content pillars through the first quarter. So, we will over-index on share. There's no doubt about it in quarter 3 through it. So as I said, like quarter 2, as a whole market is better, but it's -- quarter 3 was pretty soft as a market. And I think we were lower share in quarter 2 because of the content slate we had. Quarter 3 is definitely driven by the content slate we've got. The market does feel better, but it's still soft and a bit short.
Entcho Raykovski: Okay. It sounds like it's mostly -- I mean, sort of the 3 out of the 4 factors are basically recurring, so it doesn't feel like it's a one-off sort of Olympics or anything like that.
Mathew Stanton: Yes. Look, I think where we've sort of realized, the Olympics, actually, the audience was better than we thought it was going to be because you're doing the -- we're putting the Olympics on at the same time as MAFS was on, on a different channel, obviously on Gem. And then when MAFS finished, we saw a surge back into the Olympics. And so the numbers were very strong on the Olympics, which is great. I think in the longer term, next time around with the Olympics, we'll probably push MAFS out of thought because you can't move the AO, you can't really move the Olympics as much as we'd like to tell them what to do. I don't think we move those 2. So, we'll probably shift it out because it's a lot to do in one quarter.
Entcho Raykovski: Yes. Got it. And then the Stan paying subs that have reduced slightly since the last result. I guess, can you talk about what the dynamic is, which is driving this? You mentioned in your prepared remarks a competitive market. And just for the avoidance of doubt, is it just reduced entertainment subs and how sports subs trended? I'm sure you're not going to give us specific numbers, but just the broader trend would be useful. And have you seen any benefit from the Winter Olympics to those sports subs? I'm sorry, there's a lot in there.
Mathew Stanton: No, that's okay.
Entcho Raykovski: But that $2.4 million, I assume that includes any benefit from the Winter Olympics as well, given you said that as of February.
Mathew Stanton: Yes. Yes, there is some benefit there in that $2.4 million. So in effect, sport has been very strong, driven really by the Premier League coming into it. We had a lot of conversions from entertainment into sports. So if you think about the sports -- sorry, the entertainment tier and then you can -- you purchase the sport on top of that. So, ARPU growth has been very strong because of that. So, that's what's happened there when the biggest driver of the revenue growth has been the ARPU coming through from people coming through. So the sport has been very strong. Entertainment has been stable, but not as strong as the sport growth.
Entcho Raykovski: Okay. And just a very final one. The publishing deals with corporates to power their LLMs, I mean, quite an interesting announcement. I suppose you're restricted to some extent in what you can say. But can you talk about the structure of these contracts and the revenue you can generate from a single contract? And if you can't talk about specifics, I suppose where do you think you can get to over time in terms of revenue from this channel if there are big addressable opportunity you can attack?
Mathew Stanton: Yes. Thanks. You're right. I can't talk about the specifics on this. But we've done a couple of deals, and they will depend on the size of organization and the size of the deal we do. So, they will change a little bit depending what sector you're in and category as well, whether you are in tourism or banking or mining, et cetera, through that. So it's a license deal basically for our content to sit to train their own models, to help them train to be a stronger model for them in their market and what they're doing. So it's obviously got The AFR, The Smh, The Age type contract, but it's mainly AFR in there. And it's -- we've done 2. We have a pipeline of other opportunities, and we see it as a good revenue stream in the future. I don't really want to get into material how much at this point in time until we get through a few more.
Operator: Your next question comes from Fraser McLeish at MST Marquee.
Fraser Mcleish: A couple for me. Just firstly, on QMS. Just if you can say anything about the sort of trading you've seen in, I guess, another month from when you announced the transaction. And just how much visibility do you have over that sort of 25% revenue growth you've outlined for QMS this year? If you can give us some kind of indication of how much is coming from new contracts or new inventory that you've put in rather than any assumption of underlying growth, that would be helpful. And my other one was just if you could run through some of the moving parts on 9Now. That revenue is obviously down pretty substantially. Some of that assumes the Olympics, but what's happening there underlying? I mean, you've had great audience growth there, but still doesn't seem to be translating into revenue growth.
Mathew Stanton: Yes. Thanks, Fraser. Sort of 3 questions there. On QMS, we obviously haven't completed yet the deal on QMS yet. So, I can't really sort of talk about trading from that side. What I would say is we've had very good strong conversations with advertisers and agencies around the acquisition and feel pretty good about that from the ability for us to bring the QMS business into the Nine business. So, we're very pleased about that. But I can't really talk about trading. We don't actually own, technically, the business at this point. If we talk about the 25%, I'll talk rough, rough numbers around that. So about 10%, I think -- about 10% is from growth from the business. So whether it be from more inventory going through those assets and price and so forth. So about 10%, I suppose, organic, if you like, and about 5% for new assets coming on board in Australia, so about 5%. And then about another 10% coming actually from the Auckland contract. That's a new contract in New Zealand that they've got, and that gives some growth through there as well. So, that's about how sort of roughly to think about that 25% through there. Yes, you're absolutely right on the 9Now performance. The Olympics was the biggest driver of the difference. We had a huge Olympics this time last year in that 6-month period from there. And then one of the other things is we're thinking more and more about this digital video market, extending outside of the BVOD market is one thing into digital. So, we launched Stan Ads. It was one thing and also did the HBO Max [ Red ] deal through that period as well. So from a digital video, that sort of comes a bit more into it. through there as well. But we are very pleased with the performance as we go through into Q3 and so forth with the BVOD side of it. And possibly, could we have done better in quarter 2? Yes, we probably could have done.
Fraser Mcleish: Great. And I'll just take the opportunity to say well done again on the Domain transaction. That's obviously looking a better deal by the day when you look at share prices across the sector.
Mathew Stanton: Thank you. Yes, no, we're not pleased about that, but we're pleased about the transaction we did, yes. Any more questions?
Operator: Yes. We do have a question from Ailsa Lei at UBS.
Ailsa Lei: I've got 2 questions. Firstly, on Stan, I believe there's a cohort of Optus subs who received a Stan Entertainment tester at a discounted price for circa about 6 months. I'm just wondering what's been the churn like for these subs post discount plan that you guys have seen?
Mathew Stanton: Yes. So, I think, on the Stan, so we had that deal in place where we continue to give content through for those subs that comes in. We've had -- I mean, basically, where we're seeing at the moment is it's relatively stable, but we're getting more people go into the main package, i.e., entertainment into sport, which has helped us drive our ARPU growth. So, we're seeing good traction on the ARPU versus the volume a little bit as well. So, more people are sort of just coming out of those deals and coming just direct to us.
Ailsa Lei: Understood. And then secondly, maybe just adding on from Eric and Entcho's LLM questions. Interested as to what your current proportion of traffic is from LLMs, if you have visibility? And what's been the trend in that as well?
Mathew Stanton: Sorry, I'm a little bit confused by the question. So, I think -- so you're saying on the LLMs, what's our traffic from the LLM?
Ailsa Lei: Yes. Straight from -- yes, traffic straight from -- audience traffic straight from LLMs onto the Nine platforms.
Mathew Stanton: Yes. Okay. I'd have to take -- I'd have to come back to you on that, to be fair. I don't think I've got an answer. We'd have to come back to you, apologies. I haven't got that at hand.
Operator: The next question comes from Roger Samuel at Jefferies.
Roger Samuel: I've got 2 questions as well. First one, just going back on the outlook for Total TV for Q4, which is, as I mentioned, there's still a lot of uncertainty. So, what do you need to see to get more confidence in your outlook for Q4? And do you think that the most recent rate hike and potentially more to come has introduced more uncertainty in terms of the outlook for the ad market?
Mathew Stanton: Sorry, that last bit, Roger, what was that, more uncertainty from what?
Roger Samuel: More uncertainty on the ad market, yes.
Mathew Stanton: Okay. Just on -- look, I think -- I mean, as we go into every quarter, well, we're still not in that quarter, obviously. But before the quarter, we opened our books up. And then when we get more trading coming through our books, we get a better visibility of what it is. I think, quarter 4 was very choppy last year. So it's quite difficult to say because there was a lot of election money went into April, but then May and June came off a lot. So it's a bit of a difficult quarter to say. And we haven't -- I mean, we've got obviously strong NRL through that. We haven't got any big -- we've got some big shows, but not to the level of MAFS or Block, for example, coming through. So it's just a bit short for us to say at the moment. And if you're on 9Now, the programmatic will come through a bit later. So it's difficult for us to give exact numbers at this point.
Roger Samuel: Got it. And yes, just in terms of your guidance for CapEx, it looks like it has been reduced by about $5 million for FY '26. What's driving that? Is it because of the divestment of the radio assets? Or is it some ongoing cost efficiency?
Mathew Stanton: Yes. Maybe I'll just hand over to Martyn on that one.
Martyn Roberts: All those forecasts in the appendix are on a kind of like-for-like basis just to help you going through that. So it's not to do with radio. It's just a normal seasonal process of people not quite spending what they anticipate spending. A lot of the CapEx in the first half, as you'd appreciate, is all digital. So, we're putting together the 9Now Stan platforms. We've got some investments in publishing and obviously, investments Matt's talked about in AI and data and they continue through into the second half. But it's just really just updating from the run rate that we've got. Nothing specific.
Operator: Your next question comes from Lachlan Elliott at Macquarie.
Lachlan Elliott: Just a couple of questions from me. First of all, how should we be thinking about the underlying cost base across the whole group? You called out a few one-offs like Winter Olympics and Ben Roberts-Smith, but just trying to get a guidance on how we should think about the second half of [ London ] and how those costs -- the net benefits from those cost initiatives fit into that.
Mathew Stanton: Lachlan, thank you. The underlying cost base, we've got a program in place that we talked about Nine2028, which we'll continue with that. We've talked about costs coming out of the business. The way we think about the cost base is not so much individual platforms. We do think across the business, how do we work the platforms work better together. So especially across the streaming and broadcast side of the business, we're very much around how do we do content that can go across both Nine, 9Now and Stan, the MAFS After Party being a good example of that where we've had cost base across Nine that goes into there. The Winter Olympics, we have a cost base that goes across broadcast, streaming, 9Now and Stan. So, we do think of it as how do we just basically get efficiencies across the business? And we've got a program there to drive through, which we're very confident of hitting as we go forward. And the other -- probably the other point is around just the affiliation deals we've just done with WIN, with NBN and Darwin we announced this morning, that allows really a capital-light model in those markets. So for us, it's a continuous way for us to push our content across the whole of Australia, but in a more capital-light way with something like WIN, who's one of our -- he is our partner. He is very good at regional broadcasting and the management of those assets.
Lachlan Elliott: Great. That makes sense. And then maybe shifting gears a little bit, but focusing on content. Are there any other kind of content deals or contracts that you think would be a good fit for the business in general, whether it be new content or expanding current rights into digital? I know F1 was mentioned middle of last year. I'm not sure if there's any other contracts you want to comment on that would be appealing.
Mathew Stanton: Yes. Sure. I mean, it's a bit commercially sensitive to say individual contracts. But I'd say Formula 1, we had a good crack at, but didn't quite get there. So, there are some -- both on the sport and entertainment side of the business, there's some contracts that we're working on at this point in time, so some sport contracts. And if you think about entertainment with the big global production houses, there's continuous conversations and deals to be had around output deals from the big players as well as any sports deals. So, we're very active in that space, as you can imagine. And when we look at them, we look at them to try and work out how do we both best commercialize those across all of our assets, including publishing as we go.
Operator: Your next question comes from Tom Beadle at Jarden.
Thomas Beadle: I've just got a couple of questions around publishing. I mean, firstly, obviously, that subscription revenue growth was really strong, but total revenue probably came in a bit below expectations. So, I was just wondering if you could just unpack the drivers of revenue growth or reduction just outside of subscriptions and in particular, just interested to understand ad revenue trends.
Mathew Stanton: Yes. Sure. So as you said, we're very pleased with the publishing revenue growth and the digital subscription revenue growth was very strong. So, that was very good and it offset the print decline. So, I'd say you got your print subscriptions and circulation that goes through the retail has come down. And that continues to be a trend where we are seeing that the digital subscription offsets the print. And so we're through the inflection point on that. That's probably the biggest bit. On the advertising side, you'd say that the advertising has been pretty robust actually in the print area, where we've got some work to do is actually on the digital display advertising. It has not been probably where we wanted it to be. So, there's some work to be done around improving that digital ad display revenue, whether it be short-form video or whether it be just display ads. So that's the offset, if you like. So, both print and some of the advertising on the digital side, on digital display, which is something we're working on.
Thomas Beadle: Great. And I guess just a second question around just total subscriber numbers in publishing. I mean, if I look at that, it's a bit apples and oranges, but that ARPU -- subscriber ARPU was up 14%. If I look at that digital subscriber and print revenue, that was up 12%. That possibly suggests that subs were fairly flat. Is that a fair comment?
Mathew Stanton: Yes. I think the majority of the growth came through ARPU, definitely. So, I think you'd say it's relatively flat. We constantly look at the elasticity of the mastheads and AFR around what's the pricing, what's the volume. And you have to look at that elasticity, and it depends on the AFR versus the mastheads to some extent. It also depends on whether you look at the corporate subscription versus the B2C subscription. So, we do go through a bit of a process through that. And we also think about the paywall, how much do we open the paywall and close the paywall. So as an example, when we went through Bondi, for example, we opened up the paywall completely to give full access to everybody to the content because it was one of those national moments that we feel an obligation that we should do that, doing the right thing. And so that will impact the stuff as well. So, we'll look at a combination of price elasticity across the different verticals and also the paywall, how much do we leave behind the -- how much do we close the paywall and how much do we open it up. So it's quite a considered pricing volume approach that we work through.
Operator: That does conclude our investor conference call for today. Thank you for participating. Media wishing to ask questions should remain on the line.
Mathew Stanton: Thank you. So, that's a bit of a wrap-up of the results briefing. So if you're still on the line, thank you very much. I do see -- I wonder where I think we might be going to media now. Is that right? So, we're carrying on.
Martyn Roberts: In a couple of minutes.
Mathew Stanton: Okay. In a couple of minutes, we'll go to media. Okay. Thank you for your attendance, and we will see you again at our full-year results briefing in August. Thank you.